Operator: Greetings, and welcome to the Gibraltar Industries Fourth Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. At this time, it is now my pleasure to introduce Carolyn Capaccio, with Alliance Advisors IR. Thank you, Carolyn. You may now begin.
Carolyn Capaccio: Thanks, Rob. Good morning, everyone, and thank you for joining us today. With me on the call is Bill Bosway, Gibraltar Industries' Chairman, President, Chief Executive Officer, and Joe Lovechio, Gibraltar's Chief Financial Officer. The earnings press release that was issued this morning as well as the side presentation that management will use during the call are both available in the Investors section of the company's website gibraltar1.com. Gibraltar's earnings press release and remarks contain non-GAAP financial measures. Tables of reconciliation of GAAP to adjusted financial measures can be found in the earnings press release that was issued today. Please note further, please note that adjusted results exclude the net sales and operating results of the Japan Renewables business that was sold on December 1, 2023. Also as noted on slide two of the presentation, the earnings press release and slide presentation contain forward-looking statements with respect to future financial results. These statements are not guarantees of future performance, and the company's actual results may differ materially from the anticipated events, performance, or results expressed or implied by these forward-looking statements. Gibraltar advises you to read the risk factors detailed in its SEC filings which can also be accessed through the company's website. Now, I'll turn the call over to Bill Bosway.
Bill Bosway: Good morning. I wanted to thank you for joining today's call. I'll start with our 2024 results, and then we'll review our outlook and plan for 2025, and then we'll open the call up for questions. Let's turn to slide three. About our 2024 year-end review, and we'll start actually with our fourth quarter. Our fourth quarter performance is closely aligned with expectations in each segment. Ending the year with EPS at the top end of the outlook range and net sales just under the range. During the quarter, net sales were down 7.9% driven mainly by ongoing market issues facing the renewables business. But despite down revenue, we improved operating income 11% or 210 basis points. We increased adjusted EPS 17.4% and we improved adjusted EBITDA 220 basis points. As well, when you look at the collective performance of the rest of the portfolio, residential, ag tech, and infrastructure businesses, our results in the quarter showed additional performance improvement with net sales down 3.9% versus 7.9% for the total business. And operating income improving 45% operating margin expanding 480 basis points. And EBITDA improving 32% and EBITDA margin improving 460 basis points. So solid performance in these three businesses, which helped to offset some of the market and business challenges our Renewables team continued to work through. Let's talk about the full year. Consolidated net sales were down 3.9% to $1.31 billion as both our residential renewables businesses navigated less than favorable end market dynamics. That being said, on an adjusted basis, operating margin, EBITDA margin, and EPS all expanded with margin improvement in three of our four segments. We also generated $174 million in operating cash flow and $154 million in free cash flow or 12% of net sales.
Bill Bosway: The collective performance of the residential, ag tech, and infrastructure business was also positive for the full year. Net sales were down slightly 1.9% versus 3.9% for the total business. And operating income improved 12% with operating margin up 180 basis points and EBITDA improved 10% with EBITDA margin also up 180 basis points. So again, solid performance in these three businesses as we work through market execution improvements renewables? Backlog at year-end was down 24% as new bookings driven mainly by the time of new orders both renewables and ag tech moved from the fourth quarter into the first quarter of 2025. Since the start of the year, order activity has increased for both businesses. And to date, versus prior year, renewables bookings are up 33%, and ag tech bookings are up over 300%. And both businesses maintain an active pipeline of additional opportunities as well. Our infrastructure business is also seeing solid demand with its backlog up 10% coming into 2025. And residential demand has also improved as participation gains awarded in 2024. Are now beginning to materialize in the first quarter. Relative to portfolio management, just last week, we expanded our AgTech structures business with the acquisition of Lane Supply. An industry leader in the design, manufacturing, and its delay of canopies serving convenience stores, quick-serve restaurants, travel centers, food retailers, and EV charging stations. We're very excited to have Lane join Gibraltar. We'll talk more about them later in the presentation. Now we're gonna jump into each of the business segments, and Joe will get us started. Thanks, Bill, and good morning, everyone. Let's start with residential on Slide four. Net sales for our residential segment decreased by $8.6 million or 4.8% driven in part by point of sales softness in some regional residential markets, eighty-twenty product line simplification initiatives for safety harnesses and drywall metals, and by the delayed transition of new business awarded in 2024. Order activity in our building products business has accelerated since January, and we're now benefiting from participation gains earned last year. New products that we launched in the second half of 2024 are gaining momentum, and we Now turning to margins, our adjusted operating and EBITDA margins decreased slightly and were flat respectively. Primarily related to volume and product mix. Our execution, price cost management, eighty-twenty initiatives delivered solid results in the quarter and largely offset this volume and mix pressure. During 2024, we successfully rolled out our ERP system to additional locations and expect to have all locations completed by the beginning of 2026.
Bill Bosway: Also during the quarter, we divested our electronic washer business and reported a $25 million gain on that sale. So let's move to slide five for an update on the residential market and our participation expansion initiatives. For most of the year, really starting in the second quarter, the market has been relatively sluggish with ongoing softness at new and existing home sales. A degree in or magnitude of market strength or weakness really has varied by region. State, and in many cases at the local MSA market level. In general, point of sale cons reflect a down market of 3% to 4%, but again, it's important to understand this data at the store local market level to get a more accurate picture of the market. When you review the ARMA data, which really reflects Shingle shipments or receipts around the country For 2024, and you look at it from the state level, you'll see a wide variety of results. For example, Texas, which is the number one state or which was the number one state for shingle ship receipts in 2024 was up 10% for the year. But has been growing at a claim rate over the last few quarters. Break that down by individual MSA within the stage, you'll see different trends as well. Florida, which was the number two state for shingle receipts in 2024, was down 18% for the year. Which showed positive growth in the fourth quarter. And we expect the Florida market to normalize more in 2025 now that impact of Hurricane Ida is no longer a factor. So ultimately, the market and our ability to grow is dependent on unique circumstances impacting specific MSAs really interest rate levels and general affordability and how well we are positioned that most attractive MSAs, which we continue to work on. Also, as Joe mentioned, our revenue in the quarter was impacted by eighty-twenty product line simplification issues, exiting both our safety harness and drywall metal accessories product lines, both of which were not providing the revenue growth and margin profile we need to support overall plan.
Bill Bosway: In addition, as I mentioned in our last quarter call, the timing of orders from new business awards in 2024 did not come in 2024 as originally expected, but we have started to see orders materialize since the beginning of the year. So we are looking forward to 2025 with our top priority being the expansion of our presence in the local markets we've identified that are the most attractive for us. We recently opened a new location in Boise, Idaho, and we will expand and optimize our presence in the west the Pacific Northwest, for three additional locations in two other regions. Well, let's keep this plan for both organic and inorganic initiatives and I would say we are actively involved in both at this time. As well, our new products, both our rolled vents and our pipe boot ventilation, are getting traction that will contribute to growth in 2025. We will also continue to invest in our omnichannel customer market initiatives, both technology and competencies. To best support optimized local market channel requirements. And finally, we've been developing plans since January, and each of our businesses to deal with the particular impact of recently announced tariffs on aluminum steel. Each of our businesses will approach this in attempt in a timely manner solutions tailored for their businesses. Market has desperate situation. Our businesses will be proactive and flexible as it is likely. The tariff landscape will continue to be dynamic which changes driven by a number of reasons. Overall, we expect to generate growth and margin expansion our residential business in 2025. So let's move on to renewables. Turning to slide six, renewable adjusted net sales decreased $16.3 million or 18.8% So and backlog decreased 32% during the quarter. As we discussed in our third quarter call, sales and bookings were suppressed in the second half of the year as customers focused on completing panel installations, and administrative documentation, ahead of the December third 2024 deadline related to the June 2024 expiration of the presidential proclamation. Since the start of 2025, new bookings have accelerated and we're up 33% versus prior year. Adjusted operating EBITDA margins decreased 630 and 550 basis points respectively. Impacted by the WAMPA and product mix shift, toward our recently launched one p tracker products along with lower volumes that resulted from the above-mentioned deadline. Adjusted margins expanded sequentially by 70 basis points as a result of improving tracker operating efficiencies. And on a GAAP basis, we incurred a $5.3 million non-cash charge for the discontinuation of our legacy RBI trade names in this segment.
Bill Bosway: So let's move to slide seven, and I'll give you an update on overall renewables demand and once we track our launch. You recall, as we discussed in our last earnings call, we said we would expect new orders to start improving once we finished helping customers meet the December third deadline that Joe just referenced. Since the start of 2025, new bookings have accelerated. And are up 33% versus prior year, as Joe mentioned. In all of our technologies. Whether it's Tracker, Fixed Tilt, Canopy, and EBOS are contributing accordingly. The pipeline of new opportunities is also positive as customers continue to invest in solar and build their project portfolios. On the next slide, I'll share more thoughts on the latest industry dynamics and how customers seem to be approaching The current environment. The right side of this slide provides an update on our TareTrack one p technology, which continues to see positive customer support, and we see that through ongoing growth and new bookings. Since our launch November 23, we've booked over 400 megawatt projects across seventy-seven well, across seventy-seven projects. With twenty-two different customers. Started at seven additional projects in q four with another eighteen scheduled for the first half 2025. As well, we're actively pursuing, engaging customers that are looking to build up to 1.9 gigawatt in the US distributed generation market. So the market remains relatively robust. On the operations front, our team worked diligently throughout 2024 to keep pace the speed and magnitude of demand we experienced shortly after our one key pilot launch. Frankly, we did not anticipate the customer uptake nor were we or our key suppliers ready to support the demand and the time frame it happened. We were also challenged with quickly scaling the process as required to coordinate ship a tracker project in an effective way, and we did not have our internal distribution center operating support our growing list of projects. Throughout the year, we improved our supply chain really on three fronts.
Bill Bosway: First, we now have most of our suppliers on permanently tool versus temporary tooling that we started this with. And we are close to being caught up with our demand. Secondly, we have onshore and in source some of our most critical components thus reducing some of the logistics complexity, as well as working capital and cost. And third, we have a single site for suppliers to ship to. Is our internal distribution center. And our first shipments of our distribution center to the field are happening as we speak. So we know we have more to do. But I'd say our ability to execute one p projects today and in the future has improved substantially versus where we started over a year ago. And I believe this will drive improved performance as we move through 2025. Let's turn to the next slide, slide eight. I'll give you a quick update on the market. I believe everyone is somewhat familiar with the various regulatory and trade issues that industry has or continues to manage. Today, I highlight the second a d CBD complaint, which was filed Last April. This complaint alleged illegal trade practices by Cambodia, Malaysia, Thailand, and Vietnam, and asked the Department of Commerce as well as the US Financial Trade Commission to apply new tariffs for both anti-dumping and countervailing duties related to imported solar cells and modules from these countries. Effectively, as you can see in the table in the bottom right-hand corner of the slide, issuance of final orders for both antidumping and countervailing duties should be complete by April third. 2025. At that point, there should be more clarity for our customers as to the cost associated panels imported from these countries. Now let's switch gears and talk about the current environment. Like the rest of the industry, we are also monitoring daily. In general, there is the potential for a number of scenarios to evolve, but our view to today for 2025 is that there may be some, but not drastic, change in the various tax benefits currently available to the industry. Currently, tax credits do not seem to be in focus for the administration, but there is a view the administration may take some changes or modifications like lowering the ITC benefit or phasing it down faster and potentially assign you a domestic content requirement on developers to earn it. If a domestic content requirement happens, domestic sourcing become more critical. So the fact that we started our US supply chain onshoring effort in 2024 should put us in a solid position to support this new requirement. Regardless, and our customers will need to be prepared for change and be flexible accordingly. Four 2025. Again, as I mentioned last quarter, our revenue plan is built on a slower first half and a stronger second half. The rationale is relatively straightforward. Now bookings in the second half of 2024 drive lower sales in the first half of 2025. And positive bookings early in 2025, which are up 33% a date. Support higher sales in the second half of 2025. Also, without better clarity on what changes administration might take in 2025, if any, We are taking a conservative view on industry demand for now. As a result, we built our full-year renewables plan based on flat down revenue and delivering stronger margin performance through better execution versus prior year. Finally, I believe the second half run rate of this for this business in 2025 should be very reflective of the operating cadence we expect going forward and into 2026. So with that, let's move on to AgTech. So moving to slide nine, AgTech net sales increased about 1% as project start dates moved from the fourth quarter into the first half of 2025. The timing of new project signings caused Q4 backlog to decrease twenty-three which is already reversed in the first quarter. Since fourth quarter end, we have signed over $45 million of new bookings and demand remains strong with a solid pipeline of opportunities in process. For the year, AgTech net sales grew over 8%. Segment adjusted operating EBITDA margins each expanded over 2200 basis points. Driven by strong execution and business mix, as well as a benefit from a customer payment received this quarter, that had been written off in the prior year's quarter. Excluding this payment, operating margins expanded 1000 basis points to approximately 15%. Our GAAP results also include a $6 million non-cash charge for the discontinuation of our legacy RVI trade names in this segment. Alright. Let's move to slide ten. I wanna talk a little bit more about our revenue momentum in this business as well as the work we've done to broaden our customer base. You know, we do continue to broaden our customer base across North America. And win opportunities to support customers as they expand capacity through not just the construction of new facilities,
Bill Bosway: but also opportunities to retrofit, expand, and service existing facilities. In the last six weeks, as Joe just mentioned, we've signed $45 million of new contracts, which represents an increase of over 300% versus last year. And I expect positive bookings momentum to continue positive positive booking momentum to continue, In 2025. We are fortunate to have great customers that are continuously pushing us. To help them innovate, solve problems, and create opportunities. And today, I want to highlight two customers, since they group just founded by Larry Ellison and doctor David Agas. And Tommy's Car Wash, a large family-owned car wash business operating across North America. The Sensei Group, has a vision to improve human nutrition while preserving the world's natural resources using controlled environment agriculture. Facilities to supply fresh produce for locally for local communities. Fundamentally, the group understands there are more people than there than there is food. And this imbalance is something they would like to focus on and fix. Since they now has growing capacity of fifteen pounds per year of fresh lettuce, melons, and tomatoes, This picture shows one of the Sensic facilities we have worked together to redesign and retrofit. To increase capacity as well as flexibility to additional types of produce. Our respective design engineering project teams meet every week and are fully engaged on what's next. On the structure side of the business, are partnered with Tavi's Car Wash for turnkey solutions including design, manufacturing, and installation. This is an example of client our many years of structural engineering in structures competency to a car wash application where performance aesthetics and structural integrity contribute significantly to our customer strategy. For this business in 2025, organically, we expect the agtech business to deliver solid growth and operating margin improvement versus 2024. Based on the current time in their project schedules, the business should accelerate into q two with a good cadence and pace throughout 2025. We also expect to book additional projects and further build our backlog for twenty-five. And 2026. Now let's move to slide eleven. And talk a little bit about the acquisition of Lane's
Bill Bosway: So on February eleventh, just last week, we acquired Lane Supply. It was a market leader in the design, manufacturing, and installation of canopies applied in a variety of end-use applications, as I mentioned earlier. US canopy market is approximately $1.8 billion growing at mid-single digits, and Lane has established itself as one industry leaders. Lane was founded in nineteen fifty and its headquartered in Arlington, Texas. And its core competencies match really well with Gibraltar and includes structural engineering, structural management, water moisture management, electrical design optimization and applying customer branding badging solutions, to its structures. We paid $120 million in cash and 2024 Lane recorded net sales of $112 million and adjusted EBITDA margin of 14.8%. We expect this transition to be accretive in 2025 and Lane currently has over $150 million backlog heading into this year. And we really look forward to partnering on customer and operating synergy opportunities. Now let's move on. We'll talk about the infrastructure business. Let's move to slide twelve. Our infrastructure net sales decreased $1.3 million impacted by the timing of a large project in prior year. Backlog at quarter end increased 10% driven by new projects and strong conversion of bid volume. Demand in quoting remained robust supported by ongoing investment at the federal and state levels. Segment adjusted operating and EBITDA margins improved 180 and 170 basis points respectively driven by a favorable mix shift and continued strong operating execution. And we expect continued strength in sales and margin expansion in 2025. Let's now move to slide thirteen to discuss our balance sheet and cash flow. December thirty-first, we had cash on hand of $270 million and $395 million available on our revolver. During the quarter, we generated $19.9 million in cash and operations Net income which funded a working capital investment of $23.3 million. Dollars For the year, we generated $174 million in cash from operations including cash generated from working capital of approximately $7 million Our free cash flow generation for the year was 11.8% of sales, above our outlook of approximately 10% of sales for the year. During the year, we used $10 million to repurchase approximately 155,000 shares of common stock at year-end over the life of our current share repurchase program, we have repurchased approximately 2.7 million shares of common stock at an average price of $45.14 And we had approximately $79 million or roughly 40% remaining under this $200 million stock purchase authorization. Our revolving credit facility remains untapped, and we remain debt-free. As mentioned, we acquired Link Supply on February eleventh for $120 million in cash. Subject to customary working capital and other adjustments. We expect to continue to generate strong cash flow in 2025 And our capital allocation priorities for 2025 are to continue to invest in our organic growth in operating system for scale. With capital expenditures approximately 3% of sales. As Bill indicated, exploring inorganic growth opportunities to have an active pipeline of high-quality m and a. Our strong balance sheet provides optionality and flexibility and we're focused in the near term on our residential and ATCX Last, we plan to continue to opportunistically return value to shareholders through the remaining authorization under our share repurchase program. Funded by cash generated from operations, the use of our revolver. Depending on the timing of any m and a or repurchases. Now I'll turn the call back to Bill. Alright. So turn to slide fourteen and let's talk about our 2025 Guidance. Let me first clear the chart. The first column represents our 2024 results as reported. The second column represents our 2024 results excluding our electronic locker business. Which was divested in late 2024. For 2025, here's our guidance. We expect net sales will range between $1.4 and $1.45 billion growing between 8% and 12%, driven by organic growth residential, ag tech, and infrastructure. Flat to down sales and renewables, and the inclusion of lane supply results from operations. Adjusted operating margin will range between 13.9% and 14.2% expanding 110 to 140 basis points. Adjusted EBITDA margin will range between 16.7% and 17% expanding 100 to 130 basis points. GAAP EPS will be in the range of $4.25 to $4.50, approximately flat to 2024. Adjusted EPS will be in the range of $4.80 to $5.05 representing growth of 13% to 19%. And free cash flow as a percent of net sales will reach 10% Four rating. Our 2025 plan is balanced. And is built with consideration for the current macro environment, as well as specific end market dynamics our businesses have planned for and or continue to work through Overall, we expect to grow, expand margins, generate strong cash flow. We will drive growth through participation gains in our existing businesses and the addition of lane supply. And we improved margins in each business through Core eight thousand and twenty, productivity, price cost management, and better execution in renewables. Overall margin expansion, stronger working capital will drive our cash performance as well.
Bill Bosway: I do wanna thank our entire team for delivering a solid year and closing out 2024 with good momentum. We are prepared and ready for 2025 and looking forward to delivering our commitment. So with that, let's open the call up and we'll take your questions.
Operator: Thank you. We'll now be conducting a question and answer session. Before pressing the star keys. One moment please while we poll for questions. Thank you. Thank you. And our first question today is from the line of Daniel Moore with CJS Please proceed with your question.
Daniel Moore: Thank you. Good morning, Bill. Good morning, Joe. Thanks for taking questions. Good afternoon. Good afternoon. Let me start with residential. Revenue, obviously, last year held up really well in a tough demand environment. Through the first half. Started to feel the effects of kind of a slower resi and r and r market by by this by h two. Do you see perhaps twenty-five being kind of a mirror of twenty-four and and what kind of organic, you know, revenue growth range should we think about for h one versus h two on a year-over-year basis? Yeah. So, Dan, I I I don't know if it's gonna be a mirror per se. Yeah. We went into this year's plan with the various with the, you know, obviously, a view of the market continue to be where it has been We went into last year with something similar And we had participation gains that were driving, you know, the top line, which which we talked about kinda got delayed, and now those are starting to kick in. So you know, we all have a I wouldn't say we have a ton of growth built into the plan, but I think it's reasonable based on our market assumptions and the participation gains that are starting to kick in in January and and so I'd say, you know, low, mid-single digits in that in that that that range for the residential top line. Got it. That's helpful. And then the I I appreciate the recast I was gonna ask the revenue contribution from you know, some of the divested businesses, but it looks like if I build in about a hundred million for lane supply, organic growth kinda zero to four percent. Is that how you're thinking about twenty twenty-five top line? Yeah. I think that's that's fair. I'd say more closer towards four than zero, but but and and listen. I'll also tell you that with the macro environment the way it's been, know, there's still a lot of questions out there. I mean, we're we're fairly As I mentioned, the way we built the plan was taking a lot of that in consideration but I would also tell we're probably leaning a little bit on the conservative side than we would otherwise just because, but we feel good about the organic plan in in that range and and obviously Lane's gonna contribute a nice chunk this year as well. And and you know, hopefully, we'll see how things evolve throughout the year, but I But feel good about the the way the top line is planned is built between organic and inorganic at this stage. Okay. And then maybe one more and I'll jump back. But the shifting to renewables, you know, new bookings excel accelerated up thirty-two percent in January, obviously, good initial sign. Can you just provide a perspective? Is is that mainly catch up from q four bookings Or are we seeing more sustained turn And then Yeah. Similar question, you know, h one revenue versus h two. How do we think about the cadence of revenue built out over the year? Yeah. So if you guys if everyone remembers a little bit, we talked about this a bit. The our bookings were down in the second half of last year, which we knew that was gonna be the case. Because we had a lot of our customers laser-focused on getting through this December third deadline. And that was quite consuming and if you recall the last call, I said, that'll start to turn beginning of the year as we get these everyone gets the stuff behind them. The second thing I'd mentioned was you know, the a d c v d, the d o c investigation number two, That should be close to getting behind us And initially, it was supposed to be done in February. Now it's April, but but ultimately, at the end of the day, that was kind of the last big I'd say, market item prior to the new administration coming on that people were thinking through. So we were suppressed, I would I would say, on bookings. We knew that would turn. And the team's done a nice job of making that happen. So because your bookings you you know, from time we sign a contract and get a deposit till we start generating revenue We can do that in the same year, but it's about a six to nine-month time frame. So if your bookings were down the second half of last year, your first half, of revenue this year is going to be Suppress. As a result of that. The bookings that have been coming in beginning of this year will actually contribute to revenue starting in the second half. Of twenty twenty-five. So our second half is gonna be stronger. It normally is anyway, because of seasonality. But because of the bookings phenomenon I just described, You know, it's gonna be stronger than the first half. So we've said that we would start out slow and we would start to build momentum in q three and q four. We need the bookings to start happening. The way they have for that to be the case. And so we built our plan, as I mentioned, to be, you know, down to five a little bit, but it's assuming first half light, second half more indicative. Of where we think the business will be running. From other cadence and pace perspective. So that's what I'd look for both top and bottom line first half or second half.
Daniel Moore: Okay. I'll I'll jump back with any follow-ups. Thanks.
Operator: Our next question is from the line of Julio Romero with Citi and Company. Please proceed with your question.
Julio Romero: Good morning. This is Justin Machete on for Julio. Thank you for taking questions. Hey, Justin. So on m and a, could you tell us more about your decision to acquire Lane Supply? Maybe how you filtered down to that business and how you're thinking about its immediately accretive nature.
Bill Bosway: Yeah. So number one, we've been in the structures business for quite a long time, Justin, really going back about eighty years. And it started in our basic greenhouse business, but we do have a lot of struct different types of structures that we we design and create in manufacture and install today, whether it's Caterpillar Gardens or retail centers, car washes as I showed in the slide today, we've been at that for quite a long time. And so the types of things that Lane does are very much similar to what we grown up with and they've grown up with. And we think it's a good fit on a number of fronts. Our synergies around what we do really do overlap. And we found a you know, an end market that we've been looking at for some time that one is quite sizable, and secondly, is experiencing some pretty solid growth rate mid-single digits, both historically and projected. So yeah, we're excited about them coming into the fold. It's a nice compliment to what we've been doing for quite a long time. There's a nice opportunity to leverage not only just on the customer side, but also on the supply side. As well as field installation and construction. So that's how we got to that point. Lane is you know, it's a it's a good operating company and and feel like there's a lot of runway and and, yeah, we believe, you know, if you just took the last year's results, they would be creative to us. And so we expect that to happen again in twenty twenty-five. And And looking forward to to to to that being the case. So that's the story around Lane. Great. Thanks for the call there. Sure. And then on guidance, looking out on the year beyond the first half and second half cadence,
Julio Romero: Can you talk about what would bring you to the upper and lower ends of guidance in terms of revenue and EPS? Well, there's a story for each business that kinda is built up to get to that total as you see. But You know, the way that we thought about this year's plan you know, what's gonna happen in this renewables end market? What's the administration gonna do with with the energy policy and so forth? So Yeah. I would say there's a bit of that built into the downside piece of this, and if, you know, things don't get thrown a wrench, if you will, in that particular marketplace around the IRA or the ITC benefits, then then you know, that's one scenario. If and and we don't and we think we kinda think that's probably the case in renewables this year, but but again, there's still a lot of pause going on in in in in port portions of the market as to what is gonna And and so we'll play that by ear. And as we see things evolve this year, you know, be quarter to quarter, from an end market perspective. That'll give us a better feel. But we we took a conservative approach coming in. Just because there's still a lot of things in flight. You know, I think on the on the if you think about residential you know, we're not expecting that market to to be super robust. Interest rates aren't going to move dramatically different. All those base assumptions are probably consistent with last year. It really comes down to the time in our participation gain. So some of those happen a little bit sooner, if we open up additional locations, a little bit quicker than there may be more upside in that business than what We're showing. Vice versa, they don't all happen at this the time that's built in a plan, you know, maybe there's a little downside. So that's not gonna swing one way or the other dramatically. The residential business in ag tech is gonna be a big contributor this year. So is there more upside opportunity there with wave orders are flowing in? Yeah. There could be. But again, these are large projects and you know, you got a timing element there. Sometimes I can play into that. But then you have something like lane that's being added to the to the to the business that should bring more of a cadence in the ag tech business because the way their projects roll out are really weekly. In other words, if you think about where they support and the types of customers they support, they get a view you know, of words of, you know, ten to up to fifty weeks worth of schedule around installing canopies, design installing canopies around these applications. So, you know, hopefully, that'll give us a little more cadence And and understanding and you know, foundation on the core business. And we'll see how that evolves. It's it's a new business for us, but we think that there's some solid business, but we've kinda got that built in with a little bit of growth over over last year. So yeah, as I said right upfront, you know, you could get us for a little bit of being conservative this year, going into this into this plan, but feel it's really balanced based on the things that are going on in the end market. I think we're businesses are in a good position. We're not requiring renewables to you know, have a blowout year to deliver this plan. I think that's prudent to a way to think about that given everything we talked about. So, you know, I think we're balanced, and I think we're you know, we have a solid plan, but that's Try more than you're looking for, but that's the way we've been thinking about it.
Julio Romero: Thanks very much. That's all for me. I'll turn it back.
Operator: Thank you. If you'd like to ask a question at this time, Our next question is from the line of Walt Liptak with Seaport Research. Please proceed with your questions.
Walt Liptak: Hey, guys. Good morning. Thanks for the good quarter. Wanted to ask first about the the resi delays as sort of a follow on So there's been a couple of earnings releases so far. With these delays. I wonder if you could help us understand a little bit more, maybe about the size of these gains and, you know, how much is kinda layering in now and how much more is there to go get
Bill Bosway: Yeah. So, well, you remember, I think it's in q three impacts around $4 million I would say, just on seasonality, it's probably a little less than q four, but that was probably the you know, for 2024, I'd say that Yep. Five to six million dollar range was the impact. That has started, as I mentioned, started to we started to see those orders. So you know, our our views will pick that up this year and and hopefully get a full year effect of that. So we'll see how that evolves, but you know, that's a at a minimum, the starting point. To be incremental. Growth versus the previous year. Right? If you just do the simple math. So that's one thing that I think you know, we're excited about is the fact that we started to see I think our new products particularly the pipe boot that I've shown pictures out here the last couple quarters. Those orders are starting to materialize The opening of our Boise, Idaho facility, which we didn't have last year, is going to be impactful in 2025. And that was through a really asset acquisition enable us to get a quicker going there. So we've got a a variety of these things sprinkled around the country and certain markets and whether it's geographic play or we've won you know, more branches at a wholesaler or we've been awarded more business with a retailer, We've got a number of those things happening, but I I look for our participation gains to be pretty impactful and in the year. I don't think we're gonna have you know, right now on the docket, we don't really have anything planned from a PLS perspective, where we'd impact sales negatively Meaning, you know, getting out of something like we did with our safety harness and metal Some of our metal business. Our drywall metal business. Which was also impactful during 2024. And that that was probably that's five to seven million dollars. The top line. So think we've put her to Dex on that, and so our focus is really about those participation gains and taking advantage of the ones that we won last year and the ones that we're working on this year the same time. So that's how the plan's been built.
Walt Liptak: Okay. Great. Yeah. Thanks. And thanks for going into the the product line simplification program that you you did. We generally think of those as being pretty healthy and, like, a good thing even though they're Right. Goes away. And, you know, I wonder, are are you doing regular reviews of product lines as part of your eighty twenty program. I mean, how how robust is the eighty twenty program at this point?
Bill Bosway: Yeah. I wouldn't say we've let our foot off the gas, which is why You saw some of those PLS activities in our build accessories business last year, But, yeah, our our our pipeline of different types of eighty twenty initiatives is is as big as it's ever been. It's kinda core to what we do. So But there are other other things that obviously each business is working on That will make a big difference. But it's a big contributor towards our margin. Improvement opportunities. And frankly, in a lot of cases, our top line growth opportunities as well.
Walt Liptak: Okay. Great. Just a a couple more kind of follow ons. On the the tariff issue, You know, I understand that it's a dynamic situation And so I was wondering about the The issue of you know, at some point, do prices if prices go up, is there a chance for, like, alternatives in the regions that you operate or or is there no alter you know, is it is it cost prohibitive, I guess, to to switch to Yeah. Alternative.
Bill Bosway: No. It's a good question. And and I would say We get our leadership team together twice a year or for a couple days. It's the business unit leaders and the corporate team. It's twelve of us, if you will. But in early January, we went ahead and said, look, let's assume that we're gonna get tariffs. There was a lot of room around it, but let's start factoring that in. And so each business has a different starting point with what that might mean. From either competitive customer or internal perspective. Right? So if you're in the construction businesses, if you recall when we all went through this and then much more extraordinarily challenging way three years ago, Yeah. People got caught. So we wanna make sure, number one, we're proactive in front of it. So whether you're in project-based businesses, you have contracts, you wanna make sure you have your clauses right, you wanna have supply chain aligned appropriately with you. So on and so forth. If you're in the build and ship kind of business like residential, you wanna go through the the the the same type of assessment except for in residential. If you recall, we have indexes already built into our contracts that support movement on things like our cost. And so whether it's trimmed by tariffs or general inflation or otherwise, that process is in place. So I would tell everybody this, that you know, getting getting you know, Get in a position where you're ready to roll. Be prepared to to to make adjustments as needed. But we've been through hell and back with inflation three years ago that is was much challenged much more challenging in a lot of ways than whatever this tariff situation is gonna lend itself to be. I'm not saying it's a nonissue. I'm just saying we know how to deal with this kind of situation. If you recall, you know, we had steel you know, going up fifty dollars a week for fifty straight weeks. Right? That's not what this is. And so, you know, getting our plans in place, having initial conversations with customers the last four weeks, planting seeds about what's coming. Everyone knows this is gonna happen, or some element of it will happen, So just getting each bit business ready to go, whether it's whatever those actions are, Looking at and understanding your inventory, looking at and understanding where you're getting all your key components, and trying to understand how far the tariffs go down. Is it is it just the raw material? Is it value-added products? And putting a plan in place for each of those. So the work's been you know, ongoing now for the last five, six weeks. We have plans, I think, in place in most of our businesses. To execute when the time is right and when things come into play. But I saw suspect some things will change between now and then, and that's okay. We'll be ready to go. So it's It's a nonissue from a standpoint of we've been there, done that, we know how to deal with it, we have processes in place. We've got a playbook. It's still an issue, it's if it impacts other things, you know, macro wise. So know, we'll take it as it comes and and and I think we're well prepared to deal with it accordingly. So that's where we are today. Across each of the grades and
Walt Liptak: Okay. Thank you for that. And in your review, are there anywhere if the price goes up, there there might be a switch to an alternative, especially in residential.
Bill Bosway: You know, I no. I don't, you know, I don't think so. Here's here's the reason why why. I mean, first and foremost, in residential, remember, it's a very conservative marketplace. So contractors in general, don't like to change quickly. Now if you back them up into a corner, So where they don't have a choice? That might be the case. But when this happened, remember, we have we have an experience that's only twenty-four months old, you know, thirty months old where that was the case and what options did they have. And oftentimes, I think what happens is a, I I don't wanna change because I'm not familiar with that product. And if I'm a contractor, I'm very concerned because I can't afford to not do it right the first time and it's time value money out on the roof. I gotta get on and off and move on. Right? So anything that disrupts that model, they're gonna think hard about that. Secondly, if there is a substitution effect, option, I suspect that will will take advantage and raise that price as well. That's what we saw a couple of years ago. So I'm not as concerned about that. But some of our new products, by the way, are putting us in a better position than we would have been two years ago as well. They're either patented and or cost reduced such that we have some flexibility on how we could support it. The environment differently we would have otherwise. So on different levers there, Walt, play, but I'm not overly concerned about a substitution issue at this stage.
Walt Liptak: Okay. And then maybe one last one for me. You know, it's good to see also the divestiture too, and I think the why around the divestiture was low revenue lower margins, And I just wondered, are with the portfolio, do you go through regular annual reviews of the different businesses and segments and know, do they fit you know, is that is that part of the the annual process?
Bill Bosway: It is. And we just had our board together for two days in January on that very topic. Well, as one of many topics is that as we go through our our next know, strategy plan. Continuation of our strategic plan. So yes. And if you recall, we do have a committee in place and we discuss that every quarter. So if there is a if there's something with the with the portfolio that we say we're going to go do, That's reviewed annually at a minimum and those can be big or small. But whatever it is we decide to do every quarter, track that progress with the committee to see how we're doing and how that's coming along. So yes, it's front and center from the board throughout our leadership team. On a regular basis.
Walt Liptak: Okay. Great. Appreciate it. Thank you. Good luck this year. Yeah.
Bill Bosway: Thank you.
Operator: Thank you. At this time, there are no further questions, and I'll turn the floor back to Mister Bosway for
Bill Bosway: Yeah. Listen, I just wanna thank everyone again for joining us. Today. Coming up, we do plan to present at the belly pump in about pump valve and water symposium, the Sidoti small cap conference, and the thirty-seventh Annual ROTH Conference. Again, I wanna thank everyone for your support. For Gibraltar, and we look forward to speaking again after our first quarter report. Thank you.
Operator: Thank you. Will conclude today's conference. You may disconnect your lines at this time. We thank you for your participation. Have a wonderful day.